Operator: Hello and welcome to the Erie Indemnity Company Third Quarter 2011 Earnings Conference. I’d like to introduce to your host for today’s conference call Karen Kraus, Vice President and Director of Investor Relations.
Karen Kraus Phillips: Thank you, Sean and good morning we appreciate all of you joining us. On today’s call, management will discuss our third quarter 2011 results and other matters. Joining me are Terry Cavanaugh, President and CEO; Marcia Dall, Executive Vice President and Chief Financial Officer; Chip Dufala, Executive Vice President, Services; John Kearns, Executive Vice President, Sales and Marketing; Jim Tanous, Executive Vice President, Secretary and General Counsel; and Mike Zavasky, Executive Vice President, Insurance Operations. Our earnings release and financial supplements are issued yesterday afternoon and its have been posted to our website erieinsurance.com. As a reminder, Indemnity’s third quarter 2011 results do not include the results of the property and casualty insurance operations or life operations that result to the Exchange. However the direct written premium produced by the Exchange’s property and casualty operations is a primary driver of Indemnity’s financial results and therefore pertinence to our discussion. On today’s call, management will share important information about current and future company initiatives, as a result forward-looking statements may be incorporated into their comments. These forward-looking statements reflect the company’s current views about future events and are based on assumptions subject to known and unknown risks and uncertainties. These risks and uncertainties may cause results to differ materially from those anticipated as described in those statements. For information on important factors that may cause such difference, please see the Safe Harbor statements in our latest 10-Q filing with the SEC dated November 3, 2011 and in the related press release. In this call we will discuss non-GAAP measures you can find the reconciliation to the GAAP based results in the 10-Q. This call is being recorded and the recording is the property of Erie Indemnity Company. It is not intended for reproduction or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. A replay will be available on our website today after 12:30 p.m. Eastern Time. Your participation on this call will constitute consents to the recording, publication, webcast, broadcast and the use of your name, voice and comments by Erie Indemnity, if you do not agree with these terms, please disconnect at this time. I'll now turn the call over to Erie’s President and CEO, Terry Cavanaugh. Terry?
Terrence W. Cavanaugh: Thank you, Karen and good morning everyone. I am pleased with Indemnity’s financial results in the third quarter. Net income per share was $0.87 compared to $0.94 per share last year. Included in the last year’s third quarter result was $0.13 per share from the insurance operations, which we sold to the Exchange in December. Operating income per share was $0.93 compared to $0.89 a year ago. Our management fee revenue Indemnity’s primary source of revenue increased again this quarter up over 5% from a year ago, which is consistent with the increase in the Exchange’s direct written premium. We continue to grow premium at the Exchange, which is encouraging in this economy. Our strong customer retention now with 90.8% and improved pricing are driving the results. New renewal premium increased this quarter compared to the prior year with personal lines up nearly 5% and commercial nearly 8%. In personal lines private passenger auto new business premiums increased slightly compared to a decrease a year earlier. The result in the current quarter was due to an increase in average premium per policy. New personal auto policies enforced declined year-over-year. We continue to attract new customers but at a lesser rate than the strong growth we saw in 2010. Private passenger auto renewal premium increased as well due large part to our continued strong customer retention in this business at 91.6%. We also saw premium increases in our homeowners line this quarter in both new and renewal business. Again strong retention and an increase in average premium per policy drove this result. We’re generating revenue growth in our commercial business as well, driven by increases in rate, market share and a continued positive trend and workers comp audit premiums. Our capability to underwrite, sell and service commercial business has improved. And with the initial roll out of our new commercial system, we have the foundation to launch new and enhanced coverages. Severe weather has been a big theme in the industry in the first nine months of this year and while the insurance related losses of the Exchange had no effect on Indemnity’s results, I’d like to touch on the topic briefly. During the third quarter, Tennessee, Pennsylvania, Maryland, North Carolina, and Virginia saw multiple severe weather events from Hurricane Irene, and Tropical Storm Lee among others. For the third quarter 2011, the statutory combined ratio of the Exchange totaled 105.4% and include 16.5 points or $174 million of catastrophe related losses. As always I’d like to acknowledge the hard work of our employees and agents to resolve customer claims quickly and fairly. This has been one of the most active catastrophe years of our company’s history. Our customers depend on us to be there to support their recovery and that’s just what we’re doing. Thanks again to all of you for your good work. Turning back to Indemnity, given our strong financial position the board of directors at our meeting last week approved a continuation of our current share repurchase program with $150 million authorization. Now I’ll turn the call over to Marcia.
Marcia A. Dall: Thank you, Terry and good morning. I’ll now provide a high level overview of our third quarter 2011 results. Net income for the third quarter 2011 was $47 million, compared to $54 million for the same period a year ago. On a per diluted share basis, net income was $0.87 per share in the current quarter compared to $0.94 per share in the prior year quarter. It is important to note that the third quarter 2010 net income included $7 million or $0.13 per share from the operations that were sold to the Exchange. Third quarter net operating income was $51 million or $0.93 per share compared to $51 million or $0.89 per share in the prior year quarter. In the third quarter 2010, net operating income included $7 million or approximately $0.12 per share related to operations sold to the Exchange. Two operating segments, management operations and investment operations make up Indemnity’s third quarter financial results. I’ll begin with the review of our management operations. Income before taxes from our management operations were $62 million compared to $58 million in the third quarter of 2010. Management fee revenue was $280 million in the third quarter 2011, representing a 5% increase over the prior year period. This is consistent with the 5.4% growth and direct written premiums of the Exchange’s property and casualty insurance operations. This result was driven by policy growth of 2.6% and a 2.9% increase in average premium per policy. Cost of management operations increased $9 million or 4%, driven primarily by an increase in non-commission expenses of $7 million over the prior year quarter. This represents increases in personal cost, professional fees and software expenses. Agent commissions increased $2 million in the third quarter, 2011 compared to the same quarter of last year. The gross margin from our management operations in the third quarter 2011 was 21.7% compared to 21.1% in 2010. Now turning to the results of our investment operations. Indemnity recorded a profit before taxes of $5 million compared to $20 million in the prior year quarter. And it’s important to note that the third quarter 2010 investment results included $7 million of profit before taxes related to operations going to the Exchange. Net investment income was $4 million for the third quarter 2011, down from the $10 million in the prior quarter due to the operations sold to the Exchange. Net realized losses on investments were $6 million compared to gains of $5 million in the prior year quarter. The net realized losses reflect the volatility in the equity markets in the third quarter. There were no impairments in the third quarters of 2011 and 2010. Our income from equity and limited partnership investments was $7 million in the third quarter 2011 compared to $5 million last year, reflecting improvements in mezzanine debt and private equity investments. For the first nine months of 2011, Indemnity’s net income totaled $143 million or $2.59 per share compared to $150 million or $2.62 per share for the first nine months of 2010. The net income for 2011 and 2010 includes a corresponding $0.02 and $0.33 per share related to operations sold to the Exchange. Now turning to our share repurchases, the company repurchased 2 million shares of our outstanding Class A common stock through October 20, 2011 at a total cost of $141 million. As Terry mentioned earlier, our board approved the continuation of our stock repurchase program for total of $150 million. This includes and is not in addition to any unspent amounts remaining under the prior authorization.
Terrence W. Cavanaugh: Thank you, Marcia. Throughout the year on these calls, I've talked about Erie's strategy and our focus, our employees and agents continue to execute our strategy and are encouraged by our continued strong value proposition. Operator, you can open up the call for questions.
Operator: (Operator Instructions) Our first question comes from Bill Broomall with Macquarie. Please go ahead with your question.
Bill Broomall – Macquarie Research Equities: Great, thanks. Just a question on the rates. I think you said that you're giving rates of 5% personalized and 8% commercial, I know weather doesn't directly affect you, but does the way the Exchange is writing the premium, do you need more rate, do you think it will be more rate as it relates to driving off the weather going forward? Just a commentary for the additional risk that we've seen really everywhere across the Midwest and Northwest and what not.
Terrence W. Cavanaugh: Yeah. I mean clearly, the weather business is a component of our larger picture in terms of rate adequacy and it has become obviously a significant issue this year, but it's a significant issue every year. It is particularly obviously something we focus in on the property side, the homeowners business and that I think you see in the industry and was respond in a way that let’s feel comfortable that we’ve go the right rate for the exposure at the same time being competitive.
Bill Broomall – Macquarie Research Equities: Okay. And so going forward I mean do you think you need additional rate on top of what we got this quarter or I'm thinking of how direct premiums will flow going forward or and then how does that relate to maybe if you get growth versus like policy, the additional policies maybe or you think on growth coming from that angle as well?
Terrence W. Cavanaugh: We are constantly looking at rate, actually I mean every month we are having rating discussions across our footprint on all products in all zip codes and so that’s just something that goes on consistently, and I think you’ve seen us obviously be able to take advantage of the marketplace and move rate up. We then bounce that with the need to make sure that we have a competitive products so that our customers are seeing the value proposition and then our agency distribution system can sell the product. So it’s a matter of equilibrium and a long-term perspective, and I think we do that better than most companies.
Bill Broomall – Macquarie Research Equities: Okay, great. And then if I could just move over to the investment operations, the equity and earnings of limited partnerships of $7 million, that was I mean a lot of other companies out there have been reporting negative results from private equity and investments like that. What positive growth kind of what’s driving that’s going to held up in the recent environment, and then also can you just tell us, do you report that on a lag at all, your private equity investments?
Marcia A. Dall: Yes, we do report on a lag. It’s based on a three-month lag based on the reporting from the limited partnerships and the GPs. What I think you will see in the carefulness that you need to look at their results versus ours, is our mix, you know we have a reasonable amount within the mezzanine area and that seem to hold up pretty well in the quarter versus real estate type of equity also was positive as well. So it’s definitely being driven more by the mix of the limited partnerships between the various companies and the types of investments that they maybe in, their underlying at the mezzanine investment.
Bill Broomall – Macquarie Research Equities: Okay, great. Got it. Thank you very much.
Operator: (Operator Instructions) Our next question comes from Ron Bobman with Capital Returns. Please go ahead with your question.
Ron Bobman – Capital Returns: Hi, follow-up question on that private equity or LP question. Looking in the Exchange's stat funds is a pretty healthy list of private equity investments. Should I, is Indemnity’s participation in sort of a private equity and LP investing world a – through the pro rata interest and sort of may be a smaller but mirror image of all the funds that Exchange is in or is it just in sort of ad hoc subset and not proportional.
Marcia A. Dall: There is an overlap between the investments and it’s definitely materially smaller from a Indemnity perspective although there are some differences between the two portfolios.
Ron Bobman – Capital Returns: Is it largely a sort of mirror image albeit smaller in size?
Marcia A. Dall: There are some, yeah. I would say that it’s, I wouldn’t call it a mirror image, there is our number of investments where there is an investment both in the Exchange, from Exchange’s perspective as well as from Indemnity, but it’s not a 100%.
Ron Bobman – Capital Returns: Okay. And are you allocating sort of, what’s your plan going forward, you sort of, you continue to have a plan to have sort of a like allocation to these private, LP private equity investments or do you see them sort of shrinking in relative size as a mix of your total investment portfolio, what are your plans on that?
Marcia A. Dall: We have made a decision a couple of years ago to no longer invest in new limited partnerships from an Indemnity perspective.
Ron Bobman – Capital Returns: Okay
Marcia A. Dall: We do continue to look at opportunities in the limited partnership area related to the Exchange.
Ron Bobman – Capital Returns: Thanks a lot. That makes it clear. Best of luck and thank you.
Terrence W. Cavanaugh: Thank you.
Marcia A. Dall: Thank you, Ron.
Operator: I’m not showing any other questions in the queue at this time.
Karen Kraus Phillips: Well, thank you all very much for being on the call, as a reminder a recording will be posted on our website erieinsurance.com after 12:30 p.m. Eastern Time today. If you have any questions, please call me at 814-870-4665 and make it a great day.
Operator: Thank you, ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the conference. You may now disconnect. Good day.